Henrik Andersen: Good morning to everyone and welcome to our presentation of Full Year 2024. And let me, before we go further, just extend a heartfelt thank you to our partners, our customers, shareholders and not least outstanding colleagues for a very strong end 2024 and a very strong execution also of a very successful Q4 in 2024. It is remarkable, just to put it in perspective, that Q4 just on top of EUR6 billion is as big as Vestas was back in 2013. And also Q4 is the best quarter we have had since 2017 as a single quarter. With that, let's go to the key highlights. So the key highlights for the full year 2024, we ended with a revenue of EUR17.3 billion and an EBIT margin of 4.3%. Vestas achieved its outlook for the year and continued the positive trajectory in 2024. The service EBIT of -- I'm sorry, here we just once slow in the slide, but the service EBIT of EUR448 million ended the year, rising cost caused a challenging year for service, but the scrutiny is now complete for the business and a recovery plan is in place and we are being -- and executing on it. The order intake of 17 gigawatt gave a EUR19 billion add in value of the order intake. That is a record year in terms of order intake in terms of value, with a high ASP and strong momentum in both the onshore and the offshore. We see continuous ramp-up in the U.S. onshore and in Europe, particularly in offshore. So the manufacturing ramp-up challenges are driving additional costs as we prepare to deliver on a record order backlog, especially in the onshore U.S. and in offshore. We also here mention returning value to our shareholders as a thanks for their loyalty over the last years. So we propose a dividend of DKK0.55 per share for the AGM in April and we will initiate share buyback of EUR100 million with immediate effect as you will see from the announcement. We'll also go through the outlook 2025. The revenue is expected between EUR18 billion to EUR20 billion. EBIT margin before special items expected in the range of 4% to 7% and more details to come. With that, let's go to the update of the business environment. I think for the business environment one of the headings that are very important to remember these days is when the entity is still key to the affordability, security, and sustainability amidst the geopolitical uncertainty. It's best illustrated in the chart on the figure below to the right where we also see that the affordability in any comparison the levelized cost of energy of wind is competitive and in most cases the lowest when you see also establishing new energy assets for 30 years. We will still remain fully committed to our energy sustainability journey and the world needs more of that. So, how do we talk about the greenhouse gas avoided and not least, how do we make sure that the energy assets you are building remain yours and independent for the lifetime 30 years of it? With that, when we look at the global environment, it goes without saying raw materials and transport costs are mainly stable across our markets. When we look at the ongoing geopolitical and trade volatility, I am sure we will have a question or two, but it is of course actual discussed also at Vestas these days. The overall inflation is stabilizing and I think one very important takeaway here is that the indexes are now converging and we have seen that. We've seen for instance in some of the wage agreements now in Central Europe that they are settling in around 2.5% increase on average over the coming two years, which is very much in line with the overall public inflation as well. When we look at the market environment, I think the grid investment is a priority in most key markets. It's also the one that are being discussed most intensively. When we talk about the permitting, when we talk -- permitting in improving in some markets mentioning here Germany, U.K., U.S., but overall permitting auctions and market design is still challenging. Denmark delivered one of those examples that are not to be followed and of course, they are now trying to reset how the next auction regime will be introduced. I think, when it comes to the wind energy, it again shows its strength both in terms of the affordability, security, and sustainability. And that, of course, is one thing we take away also from 2024. When we look at the project level, the regional disruption continues to threaten supply chain. We've seen that, we've seen also access, ships, supply chain, but on the other hand, our low margin legacy projects did complete end of last year, even in Q4 where we did really, really well in the power solution. We talked along about when it will change and we'll come back to that, but I think Q4 is one of the best execution quarters we have seen in recent times where also we've seen the lowest pre and post-credit gap actually in many years. So I have here to shout out well done Team Vestas and to our partners executing on that in Q4. When it comes to Power Solutions, in Q4, we had a strong end to the year. So the strong Q4 order intake of 6.5 gigawatt with continuous momentum across all regions in onshore and good market activity in offshore in EMEA, in Asia Pacific. When we see the order intake, that was down compared to last year due to a very, very tough comparison with an all-time high quarter in Q4 2023. The ASP on new orders was in the quarter EUR1.18 million per megawatt, in the quarter that was up from EUR1 million per megawatt last year in the same quarter. The order backlog in Power Solutions increased to a record high of EUR31.6 billion, up EUR5.6 billion compared to last year. This also is a testament that our energy solutions continue to have good tractions with customers across our core markets and there are many of them. When we look at the charts to the right, you can see the comparison versus the U.S. last year where we had one or two customers placing large orders in Q4, which we always say sometimes you have to see the average of those and also what years they're covering. We had 1.6 gigawatt all the way up to the last banking day in the U.S. and we thank the team and also the customer for trusting us to do that. You can also see the offshore here, good traction. And then on the ASP, positively underlying even with the usual influence and adjustment for scope and geography, very pleased to see the ASP is positive and at least stable at a higher level. So now, let's go to the service business. So heading of the service business in Q4 is, we spent the time well. The scrutiny of the service business is complete. So while -- when service have had a difficult year in 2024, the scrutiny of the business is over and a recovery plan is in place and being executed. Service reached 155 gigawatt on the service compared to 149 gigawatt a year ago, solidifying our position as the largest service business in the industry. The service order backlog continues to grow now almost EUR37 billion up from EUR34 billion end of 2023. You will see the breakdown here to the right and you will also see in my strategy update that we spend a bit more time both in the details of the plan and also how we are going to execute it and in what time frame. When we look then at the developments, in Q4, strong order intake and new secured pipeline, again here really well. Q4 Vestas development generated 612 megawatt of order intake for Vestas from two development projects in the U.S. At the end of Q4, Vesta's pipeline of development projects amounted to 28 gigawatt with Australia, U.S., Spain, and Brazil holding the largest opportunities. Throughout 2024, Vestas Development continued to generate value with approximately 2 gigawatt of exits in that time frame. You will see the breakdown of the Development business here. And again, really thank you for insisting and continuing all the way to the last banking day of the year. Then we go to the sustainability. And in terms of the sustainability, I think here it's appropriate to say that we stand tall globally for sustainability. It is absolutely the right thing to do and it will remain the right thing to do for us to come and the generation to follow. So when we look at the highlights here, the lifetime emissions avoided by produced and shipped capacity increased by 59 million tonnes compared to a year ago. You will see that in the chart to the right. In terms of the number of recordable injuries per million working hours was stable around 3.0, but 2024 was marked by five fatalities, including one Vestas employee. We tirelessly work to improve our safety performance across our value chain. And those experiences and the fatalities are absolutely far too many and we of course are doing our deep dive of how we can improve from that. This is not good enough. While we will not reach our 2025 target for Scope 1 and 2 carbon emissions, we continue to make progress. You will see that over here in the Scope 1 and 2, it's 105,000 tons of CO2. Excluding the business we bought end of 2020, so therefore excluding the offshore business, we would have achieved a reduction of 44% compared to 2019. I will just comment on that. We have not left our commitment to reduce Scope 1 and 2, contrary to some quotes in the press. So therefore here you can see the result, but it's not possible for us to predict if we buy a business that changes the CO2 emissions and offshore is absolutely the right thing both to invest in and also to have as a business investment. We are also honored to yet again be heralded as the most sustainable energy solution company by Corporate Knights. And I will say here, that also led to world number three in sustainability. And of course, it's a pleasure to see that. And we also congratulate Schneider Electric with being number one. With that, it's a pleasure to welcome Rasmus Gram, our Interim Group CFO, to the financials. Please, Rasmus.
Rasmus Gram: Thank you very much, Henrik. Hello, everyone. Really good to be here. And we start with the income statement for the full year, where for 2024, revenue increased 12% year-on-year to EUR17.3 billion, which is in the upper end of the guided range and the growth was primarily driven by turbines delivered at higher prices. The EBIT margin before special items came in at 4.3%, also within the outlook range. And if we actually adjust for the sale of our controls and converters business in 2023, the improvement in the EBIT margin is 3.8 percentage points year-on-year compared to the 2.8% you can see in the table on the right. Return on capital employed continues to improve and is now at 8%, which is an improvement of more than 5 percentage points from last year. When looking at the quarter, revenue increased by 29% year-on-year, driven by higher revenue in both the Power Solutions and Service segments. Gross margin improved by more than 7 percentage points to 18.1% as the turnaround in the Power Solutions segment is now really visible in the numbers. And with SG&A costs being fairly stable, this means that Vestas generated 12.4% EBIT margin Q4 showing double-digit profitability and as Henrik mentioned, one of the strongest quarters that we have seen for many years. Looking at the Power Solutions segment, revenue increased by 28% year-on-year, driven by higher megawatts delivered in both onshore and offshore, as well as higher average prices. The EBIT margin in the quarter was 12.9%, which is up almost 10 percentage points compared to last year, leading to the highest quarterly profitability since 2017 and again cementing the tremendous turnaround achieved in Power Solutions. The improvement was driven by better project execution, lower warranty costs, and the benefits from the operating leverage in what was still a very back-end-loaded year. And here maybe just a reminder that we expect 2025 to follow a similar profile. And of course, looking at the chart to the right, you can see that historically this has been also the trend. And also importantly, the quarter also marks the completion of the low-margin legacy backlog from orders taken from mid-2022 and before. Service revenue increased by 30% year-on-year, driven by a record-high transactional sales in the quarter and also some currency tailwind. And if you look just on the underlying contract revenue that increased 12% year-on-year, just to give you some flavor on that. The Service generated an EBIT of EUR215 million in the quarter, equivalent to a margin of 18%, which was as expected. The cash flow statement for Q4, operating cash flow was EUR2.2 billion in the quarter, an improvement compared to also a strong Q4 last year driven by higher profitability and net working capital improvements. Adjusted free cash flow was EUR1.8 billion, which is also an improvement year-on-year despite the overall higher investment levels. And for 2024, for the full year, adjusted free cash flow amounted to EUR1.1 billion compared to slightly negative last year. And we're ending the year in a net positive cash position of more than EUR800 million.
Henrik Andersen: It's a really good number, right, Rasmus?
Rasmus Gram: That's a pretty good number. Thank you. Looking at working capital in the quarter, working capital decreased considerably in Q4, not unusual. And this was driven by a reduction in inventories, while higher customer down and milestone payments were largely offset by higher receivables. And here it is also worth noting that we actually ended 2024 with lower inventories and net contract assets than last year, despite activity level being higher. When looking at investments in the quarter, we made investments of EUR403 million in the quarter, which is an increase compared to last year. And as also mentioned by Henrik, we are continuing to prioritize the manufacturing ramp in both offshore and the 4 megawatt platform, particularly in the USA. As we have now begun serial manufacturing of our V236 turbine across our European sites in order to deliver on the first projects here in 2025, but this also of course triggers then higher depreciation and amortizations. Looking at the Provisions and LPF, we continue to have a heightened focus on quality in order to help LPF improve and of course warranty provisions to come down. So over time, an improved LPF should lead to lower warranty provision levels. We do see a slight increase in the LPF in Q4, which was driven by downtime at two specific offshore sites that we also addressed in Q3, but we are actually seeing the underlying LPF continue to improve. Warranty costs amounted to EUR162 million in the quarter, which corresponds to 2.6% of revenue, but maybe more importantly, for the full year, warranty costs came in at 4.3% of revenue, compared to 5.3% in 2023 and 6.4% in 2024. And looking at the capital structure, the combination of what we saw in terms of strong free cash flow and improved earnings, this leads to a further decrease of the net debt to EBITDA ratio to now negative 0.5 times, well below our internal target of less than 1 times. And on the back of this 2024 numbers, we then propose a payout of a dividend of DKK0.55 per share, as well as initiating a share buyback program of EUR100 million in order to return value to our shareholders. And all of this corresponds to a payout ratio of around 35%. And with that, I would like to pass back to Henrik for a strategy update.
Henrik Andersen: Thank you so much, Rasmus. Not the worst set of numbers you could do your first presentation for to this audience. When we then look at the strategy updates, I will try to keep this. When we look at this, this is what it's all about. How do we actually get the CO2 emission down to also control and at least now damage control the temperature rise the planet is facing. I think we will just show this in the chart here and you can see the various sort of scenarios which it gives us. What are -- probably the worrying thing for all of us is, that the stated policies will actually increase the temperature to around 2.4 degrees. We already now know another data point which was the 2024 gave us a rise to now historic high of 1.6 degree above pre-industrial thing. So therefore this is what it's all about. So when we then look at -- that also sets both the scene and to some extent the tee-up for what is the growth potential for wind. The charts to the left very well. This is the energy consumption in 2023 for the planet. And here, we see electricity still is around 20%. Wind is approximately 1.6% of the electricity generation, that means energy from wind comes to somewhere around 1.6% and in total of electricity 8%. When we then need to look towards the right, then you can see both the stated policies, we can see the pledge policies and we can see the net zero and how much of that needs then to come in for instance for the wind and what proportion of we will have. Then we are not talking about a doubling of the capacity annually, we are talking about a quadrupling of the capacity towards the 2050. And if I may just draw your attention to this, this is not sort of a cumulated 300 gigawatt. This is an annual constructed target towards 2050. So we have a steep ramp up in front of us. That also means when we talk about our global priorities, first thing first. Very well we had a target that was back in black for '23. We are now operating in the two years '24 and '25 which is back on track. We had six strategic priorities, onshore, offshore, quality, cash, efficiency and people. And not surprisingly we have added service to that. So we have seven strategic priorities. And I will say in actually right now for Vestas and for the financials, the three onshore, offshore on service are the three key ones. Also we will talk more about in both the journey to 10% but it's also what gets really right now the attention for the financials. That also means when we come out and we still have a long-term sustainable growth view in terms of our strategy towards 2030 hasn't changed. We still see ourselves being a global leader in the sustainable energy solution based on a strong foundation in onshore, a strong foundation in service. We're establishing the same similar strong foundation in offshore and of course, we are well, well supported and helped by our colleagues in development and our interested customers for the projects coming out of development. I will just double-click here because the onshore and offshore we talked about and I'll also encourage you to read much more about these things in our annual report, but on the service recovery plan, let me double-click on that. So the scrutiny and the cost challenges in 2024 had and did lead to a revised operating model. We did a scrutiny of our service business and it is now complete. As previously mentioned, in the scrutiny it highlighted three main cost challenges, equally important. It's the unit cost, it's the operational inefficiencies and it's the quality-related effects. Not surprisingly either of the three and when we look through it, we just try to give you some examples of it here to the right. We are net contract assets end of 2024, that is the unbilled revenue that amounted to EUR912 million or around 3% of the service backlog. The new service operating model is implemented as of 1st of January 2025 to strengthen the accountability and also the regional engagement and also ownership of the service business. That was completed by our Group COO for Service taking position by the 5th of January and they are now in full operating floor when we look at the service business across. You can see the charts over here and also the five-year development in both backlog and the net contract assets. What does it then entail to have a recovery plan for a business that is still very strong? First of all, it's about getting the service back on track. It involves the full team Vestas and also the full value chain, but as you probably guessed out of some of these points, it's not only about service colleagues and the service business. It also links to the technology, it links to our digital part of Vestas and it not least links to our technology colleagues that also have the responsibility together with everyone else around the quality of the product. So the Service OnePlan plan is cross-functional and it is about regional collaboration and it's about delivering for you dear customer at your site. The global priority list of initiatives we will share some of them here but it includes a list of priorities that people will be measured on. And we're also saying here it's a strategic priority list that runs in 2025 and 2026. So in reality it's four to eight quarters ahead from where we are today. We have not had any doubt that when we reviewed the business that our long-term ambition of 25% EBIT is still the same. We are not at 25%. You saw our Q4 numbers as said by Rasmus is currently sitting at 18% and that's probably a fair run rate of the business and therefore we are building that on top when oncoming the four to eight quarters and then we will see how quickly we can get to the 25% EBIT. When we then look at some of these things, first heading is the commercial resetting. We will drive commercial excellence with focus on price, scope, billing, profiles and contract trimming. We are mentioning here contract trimming for the first time. It also means similar to what we've been through in Power Solutions. When you do this, you could call it a turnaround. You will also allow yourself if it doesn't jive and doesn't solve itself in other ways, then contract trimming can be the only way out or it can also be that we simply choose not to extend or renew some of those contracts. As already mentioned, I think one of the most important things, at least on the external side, is that the wage inflation in mainland Europe is now settling around 2.5% in annual wage increase, which is very much in line and therefore connected to the underlying inflation indexes that are so important for the Service Business. Another point is the intelligent work order scheduling, that is very much addressed towards the person and the colleague that is in the field every day. So it introduces automated intelligent work schedules based on commercial and operational profiles, so you're actually doing what you are expected and also what you are paid for. The standardized cost control that means it's the regional cost control for teams, it's the proactive benchmarking using standardized AI-enabled tools, which means it's just comparing people and standards of how we work and how we do that. And I think that will make a lot of sense in the business. Last but not least, the advanced troubleshooting software, which means also we have to become better in using the AI tools to reduce the turbine visits, but also to deactivate some of the false alarms, and improve the predictive maintenance. This is one of the things -- one of the other things we mean by the inefficiencies we have found. You will see over here in short little overview as to the left, what points do the commercial resetting touch? And of course, the commercial resetting is very much about the unit cost on the operational inefficiency and quality related effects, we have to get that in point. You can't have that commercial discussion unless we perform at our best. The intelligent work order scheduling touches all three points. The standardized cost control touches the two points, unit cost and operational inefficiency, and then the advanced troubleshooting software absolutely addresses the operational inefficiency and the quality related effects. I will say there is a four to eight-quarters journey ahead. It's specified and I know from being now and seeing many of the service colleagues, this is a committed team but they will also have a fair bit of watching and all the attention they need to get the execution away over the coming four to eight quarters. So I'll only wish them good luck with that and we are all in it as a team Vestas supporting the Service business. That also means when we look at our long-term ambitions, this is also for us important. You will also be able to read much more about that in our annual report. But we haven't found reason to change any of it. So revenue still will grow faster than the market and the market leader in revenue. On the EBIT side, best-in-class earnings, at least 10% EBIT margin and that's an industrial related. And then return on capital employed, 20% return on investment over the cycle. Of course, ROCE and EBIT closely goes hand-in-hand. And when we see the free cash flow, free cash flow positive and therefore Rasmus wonderful number for 2024 and a testament to the global team and our customers that have supported that a long way. And then as I said, a shout-out on ESG, a carbon neutrality across our own operations and 45% scope reduction by 2030. We got to keep an eye on this because we give ourselves a very hard time for Scope 1 and 2, but it is under Scope 3 we have a ratio that is much higher. We speak more about that in our annual report and I really encourage you to read more about our initiatives and how well we are doing contrary to just a heading in the papers. With that, I'll give you a bit more on the 10% EBIT margin. And you will see in here, we'll share the building blocks and we'll also share them in a loyal way of staying. There is a different size of the building blocks shown below. It doesn't state when and it doesn't state how much. So we would like to encourage you to use your imagination after listening to not least this call but also in our meetings in the coming days. So we start with 2025, which is mid of the guidance range 5.5%. That means in reality, we need to build not only a bridge but also a credible building blocks to get to 10%. If I look to the far left, I think under project profitability we have come a very, very long way. When we went through both '21, '22 and to some extent '23, this was probably one of the biggest building blocks we had. But also with our comments today and what we have seen for Q4 in '24, we can say that journey still has basis points in it, but it is not the same size of basis points that we started with. You can see that and that is probably one of the main contributors of why we are now solidly talking about plus 4% EBIT in what Vestas is achieving. I think on the onshore volume, the operational leverage and the better absorption of fixed cost is still very obvious. I also need in the onshore volume to mention here the ramp-up we are doing in the U.S. It's a ramp up in onshore and onshore particularly that causes challenges because it looks easy when you split shifts and you run many more shifts than you did 18 or 24 months ago, but it does not give the takt time imagined that you came from with one shift, that's not the takt time you have for two shift and therefore you keep investing both in additional capacity and you also keep investing through a lower takt time until the factory will run fully efficient. That we are not through and therefore part of both exiting '24 and also coming into '25 gives us further basis points to have on the onshore volume, but also in the basis points we can recover from the onshore ramp up in the U.S. I think we probably, all in all, have a bit better fixed point here together when we talk about the service. Service is expected to lever on its recovery plan and of course, it sits right in the middle. You can calculate it, if the difference is between 18% to 25%, you can make your assumptions on the service business and how much it will grow in the coming years, it will still grow, and therefore it's fair to assume that there are some building block in here, that service contributes to the overall group 10% target in the range of, leave it to you, but that you can definitely do the calculation of. In terms of quality, I will say often when we talk quality, we bring it down almost in the discussion with you to one single slide, which means is, what is the warranty provision in the quarter and what's the warranty provision for the year. The truth of it is the cost of poor quality for a manufacturer like us is throughout the whole value chain. It is what goes on in the factories, it's what goes on in the site, but it is also what goes on, of course, in the warranty provision. So, as you have seen in the last years, we are trending in the right direction, but we are not there yet. We are not there yet in terms of warranty provision. We have seen variances between the quarters, but we are still at 4.3%. It's the lowest warranty provision annually we have had in the last five years, but it's not where we think the business should be running, neither in onshore or in offshore. Therefore, the warranty provision contributes, but equally important, and to some extent as important or more, is the cost of poor quality that sits outside that. That's the scrap, it's the waste that goes on from the factories or even at site or where we lose things that doesn't work in the quality of the value chain. So that bubble is actually bigger than what we can see ourselves improving in the run rate from the service. And then last but not least, here is the biggest thing, which is the offshore ramp-up. We continue to scale offshore, that. We are entering a year where we are putting the new turbine in play, we are ramping up the serial manufacturing of it, but even with the two projects we have this year, it is not able to reach margin on par with onshore at all. Why is that? Two projects or a similar-size business is not able to absorb the now beginning of the amortization and depreciations. We've said that all along, sits at least in the amortization, depreciations a EUR200 million increase for this year equal to in round numbers around 100 basis points, but includes quite a bit more. The ramp-up of offshore that is happening predominantly in Europe, predominantly across four manufacturing sites is absolutely going on as we speak, but it also means there is a huge investment going on in this outside just the one on the depreciation and amortization. So here sits a number of 100 of basis points which of course some of them will go away in terms of the ramp-up, it gets better and others will simply be diluted, when we are in years, where we can use the capacity we are building to. And no, for those who are interested, we are not here saying what capacity we are building to and how we are building it, but we are advanced in it, but we are definitely not at the run rate and this is the year where we need to make that investment. If you add those five building blocks together, most of you will come to something that is well in excess of 450 basis points. We do as well. We also learned one thing, external worlds sometimes cause a bump or two on the road. So therefore we feel comfortable that we have built and we have building blocks here that contains more than the usual 450 basis points to get to 10%. And I think we can also -- with taking 2024 results to you also say we have something and evidence to have it in because what we have done in the onshore and the Power Solution there is a testament, but it takes time investors because the backlog takes time as always. So with that, thank you for taking time to listen to this strategy update. I will now go to the outlook for 2025. So the outlook for 2025, a further increase in revenue from this year so to EUR18 billion to EUR20 billion. We set an EBIT margin before special items of 4% to 7% and that includes a service that is expected to generate an EBIT before special items of around EUR700 million. The investment continues around the same level of EUR1.2 billion, which of course we also talk more about and please encourage you to read through our annual report where we also write more about what kind of investments we are doing, but it is mainly also now in manufacturing ramp and tooling for especially the offshore. With that, I'll just remember to say that the 2025 outlook is based on the current foreign exchange rates. And I think that's where we are sitting currently. So with that, the financial calendar for the coming months. So we have the AGM 8th of April with the dividend proposed as Rasmus was mentioning, we got the disclosure in May, August and November for the year. So with that, I will just leave it to the operator and the Q&A. Thank you so much.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Claus Almer from Nordea. Please go ahead.
Claus Almer: Thank you. Yeah, first of all, congratulations with a very strong Q4 performance. The first question goes to the 2025 EBIT margin guidance. Could you please help us better understanding the underlying margin progression? So a bit of more color on how much offshore is pulling down the margin both in the low end and the high end of the guidance range. That would be the first question.
Henrik Andersen: Okay. I'll do that, Claus. First of all, exited the year well as you said and thanks for that. You will also see here we exited on the onshore and we are moving with some of the same momentum into '25, but as just walk through on the offshore, some of it is very straightforward. That's the depreciation and amortization. And then as I said on the ramp it has a price to it right now and for obvious reason I'm not going to give you that, but of course it is a significant investment that sits in the factories and the ramp between prototype and serial manufacturing. The underlying on the onshore very strong and you can see from the service. So I would rather go another way around. You can count on the onshore and you can count on the service then approximately what we are investing in the offshore.
Claus Almer: Maybe I'm slow, so the math is a bit difficult for me. So let's just exclude the offshore. Are you then very close to the 10% EBIT margin?
Henrik Andersen: We will probably not have guided 10% to 13%, Claus, if we didn't have the offshore. So I would rather again then highlight if we assume 5.5% in the middle then you can do -- then you can assume we are spending significant basis points in the offshore this year. And that's right. There's nothing else to say about that. On the other hand, we also have to say as much as we had a flawless execution on onshore in Q4. And I sometimes remind people of EUR6 billion in excess, where a lot of it also nearly EUR5 billion comes from the Power Solution, onshore. There is a lot in here that has happened well and of course that we don't just run a trajectory and saying it will be flawless in the following four quarters. So take that as a positive and also see the operational leverage you have from onshore in Q4.
Claus Almer: Fair enough. And my second question goes to the US market. Given the current political situation, does that mean we shouldn't expect any US orders being announced in the coming quarters or before any clarity comes? And you say what is actually your pipeline telling you and the talks with the customers?
Henrik Andersen: I think US is -- let's put it this way, it's an interesting one to follow not only on a weekly but also on a daily basis. I think we are in their clouds. We have more than 5,000 people in the U.S. We are ramping up. We have done and done that for many decades, the investment in the solutions there. We see the onshore and the offshore very differently. I think the offshore has come to a stop more or less with immediate effect. And you've seen a reflection on that both from New Jersey and others. But when it comes to the onshore backlog, we are well covered for '25. We are well covered a long distance into '26. And right now I will say the -- the dialogue with customers are really, really well. So I'll be surprised if we don't continue. There can be stops for weeks in some of the consideration right now, but at least over the weekend, I will say confirmed, many people are still sticking to their projects, their pipeline. And also not to forget, the states generally appreciate the build-out and also need the electricity generation.
Claus Almer: So that means we could see more orders in the first half. And do we actually see some of the projects that slipped from Q4 into 2025 due to all this uncertainty or is it more a back end loaded 2025 order intake from the US onshore market?
Henrik Andersen: Claus, you know me well enough. I would definitely not exclude orders coming in Q1 and that is a fair way of saying. I think it's interesting to sit on a call here in February and almost you defend wind as sort of the pendulum have swung. And I think right now affordability, the AI drive for demand in the US is so strong that there is more electricity and energy needed. And funny enough, the renewable sources are some of the fastest to build and they are all well-positioned in the queue. And they are also by the way approved for all of the legislative credits. So therefore, let's go.
Claus Almer: Sounds very good, Henrik. Well done. And that was all for me. Thanks.
Operator: The next question comes from the line of Akash Gupta from JPMorgan. Please go ahead.
Akash Gupta: Yes. Hi. Good morning, Henrik, and thanks for your time. My first one is on merit of resuming dividend and share buyback at a time when you have a big offshore ramp-up ahead and also high uncertainties in the US from Trump administration policies. So are you giving a signal that these headwinds are not that significant and showing your confidence in pulling through the offshore ramp up which will still lead to a meaningful profitability for the year? That's the first one. Thank you.
Henrik Andersen: Thanks, Akash. I think it's a signal to everyone that we are comfortable with what we are looking into in '25 and '26 and for that matter, in the backlog. We have seen that progress coming. It's also a fair saying, Akash, we feel strongly for our shareholders and listen to that. It's not everything that has been linear in the last years. So therefore it's an appreciation from both Board and executive management in saying there has to be both a dividend and a share buyback. Of course, we wouldn't have done that if we didn't believe. We have had ramp-up before in both onshore and offshore and we believe we'll work through that and they will disappear at a point in time. Ramp is often about repeating things often enough, then you become good at it in the factories and that's what we are working on.
Akash Gupta: Thank you. And my follow up question is about levelized cost of electricity in onshore in general. When we look at your ASP and they are kind of flat or maybe up in the past couple of years, can you tell us how much reduction in LCOE you are able to generate with these prices that we see in your order intake? And are your customers have certain expectations for LCOE reduction when they discuss orders that will be delivered in few years down the line? And maybe expanding a question a bit further, how do you see some of these long-term market forecast for wind that still rely on continued decline in levelized cost of electricity? Thank you.
Henrik Andersen: I always think it's interesting when we talk about wind and we talk about other renewables, the levelized cost of energy has to come down constantly and ultimately hit zero. And that will be the worst thing that could happen for any industry because if energy is for zero, everyone will consume endless of it. So therefore let's pause for a second and just talk about the levelized cost of energy. Very different from different parts of the world. Where I'm just saying here, often it sits well. Whenever you're in Australia, you're in the U.S., you're in the Latin, you're in Europe that there is a much better way of doing this by prioritizing it and also doing it in wind. You can see right now Germany in the last two years has suddenly gone from very little to more than potentially 10 gigawatt in both '24, '25 and still leaning towards '26. That's not because the LCOE necessarily has gone down, but it is still the best alternative for Germany both in terms of time, in the levels of the security for Germany, and secondly, also in reality how big you can build, how quickly.
Akash Gupta: Thank you.
Operator: The next question comes from the line of Kristian Tornoe from SEB. Please go ahead.
Kristian Tornoe: Yes. Thank you. I have two questions and I'll do them one by one. So first one goes to your Service business. Appreciate the details of your recovery plan. But focusing on slide 24 and the net contract assets which you also show has increased in 2024. And I note in the lower right of the slide you said that contract billing profiles have not yet caught up with the revised cost claim that you will likely continue to carry net contract assets on the balance sheet. So maybe if you could elaborate on this? And in particular, one thing is that you will continue to carry net contract assets, but when should we expect net contract assets to actually start declining?
Henrik Andersen: Thank you, Kristian for that. I think the net contract assets is in there and as rightly saying, it is about catching up is both in terms of the billing profile of the contracts. So some of it will equal out over time simply because the billing increases. Secondly, of course, the recovery here is also part of bringing some of the cost down. And as I said one of the best one from the external world is that you see the wage inflation at a substantially different one. I can't give you an exact quarter of that's where the contract asset is going down. We will continue working on it. We might still see some variations and slight increases this year. But from a business point and how it relates to the individual contracts and sites, I'm very comfortable after we scrutinized the business.
Kristian Tornoe: Understood. Then my second question goes to your offshore business and I guess partly to the levers us on the road to the 10% margin. So I think you made it very clear that there is a notable impact for 2025. So more curious for 2026 and '27, the current offshore backlog that you have both in terms of volumes and in terms of pre-calc margin or backlog margin, whatever you want to call it, what visibility does that give you to sort of a improvement on the offshore margin in '26 and '27?
Henrik Andersen: Thank you so much, Kristian. I think this call is always interesting because we probably have to appreciate here and this is also one of the markets where we are not that many participants in. So I will answer the following at least for '26, we will come back to '26 when needed to guide on that, but it goes without saying that every time you add some additional top line to it, it has a lot higher degree of operating leverage of both the business we are building but also the depreciation and amortization. That's just a math game in that sense. But it's much more a math game also to connect with the customers and we are blessed with customers that are trusting us towards the 2030. And of course, that backlog you will see having PSAs and ordering takes building. So I will say '26 look better than '25 and '27 look better than '25 and '26. That's the best way of looking at that. So there isn't anything else to do. There's some patience required here to see your investment materializing in a better balance. And then I can't and I will not give you the quarter of when it's not margin dilutive because that will be in the latter part of the years we are discussing.
Kristian Tornoe: Fair enough. And I definitely wasn't expecting that answer either. But if I just may follow up. So I mean you clearly highlight volumes as an important element to get the operating leverage. So, is the market potential significant enough for you to secure that volume going forward to support the necessary margins you need in offshore?
Henrik Andersen: I think we work with exactly the same both laws of physics and also supply chain and I welcome here that it seems like everyone have gotten very sensible about what order intake they're putting in a backlog in offshore, and it doesn't make any sense for anyone to build offshore turbines or wind parks and having either half or billions of losses of EBIT and we don't try to achieve that either. But on the other hand, when we are scaling an investment until we have the volume required, then it will be a profitable business.
Kristian Tornoe: Understood. Thank you so much.
Operator: The next question comes from the line of Dan Togo Jensen from Carnegie. Please go ahead.
Dan Togo Jensen: Thank you. And congrats from my side as well with the finish in Q4. A question on the service business and the guidance of EUR700 million in '25. Are there any sort of say one-off cost or cost from this transition and changing of the organization, etc., contract trimming, as you was mentioning, Henrik, that is weighing down in the guidance for '25? That would be the first question.
Henrik Andersen: Any organizational changes and other things have been taken fully in '24. So there's none of that nature. When we then look at a business where we don't know how the year will unfold that's why we are saying around EUR700 million. So there's of course risk elements in any plan you're executing in the service recovery plan. And of course, if there are one-offs in there, we will show them and share them like we'd always done in a quarterly basis. But I think good starting point is the run rate we're coming out with from Q4.
Dan Togo Jensen: So contract trimming necessarily will not trigger sizable one-offs?
Henrik Andersen: No, then we would have said it. We are not a big -- and anyone who follows our accounts will know that we are not a big spender of special items or anything like that. So we have no -- it's not like you are seeing a big camouflaged restructuring program with special items and contract trimming. That's not what we do. But I'm just saying here we -- in the commercial resetting, we won't shy away from. If there are places in the world where people can't agree on having a proper value of the service contract, it will either not be extended or it will have an exit at some point. But I will take as an ordinary.
Dan Togo Jensen: Then a question on ESP increasing sequentially. Could you give some flavor on the progression here? How much of the impact of this is offshore, which is kind of obvious? But are there anything we should be aware of on your onshore side that potentially lifts prices here as well?
Henrik Andersen: Yeah. In this one it's a big good average of 6.5 gigawatt. So of course there is a fair balance between offshore and onshore and that gives it. And as you will appreciate, we don't give breakdown of that because there are only a few projects in the offshore pipeline. We're encouraged by this. Probably most encouraged, I will say here that we work enormously close with the customers that have put orders in here, and it's not like one takes a bigger part of the pie or others. We work constantly on trying to optimize the projects together with our customers. We don't win it all, and that's in many ways a good thing. So, therefore, the ASP we are seeing is supporting very much the bridge we also shared with you. But I'm saying here that compared to where we came from, the biggest step in that ASP is far over. Now, it's more optimizing from project to projects and potentially also from country to country. We got to also be aware the ASP can't continue upwards just like it has done because then the project doesn't become viable for our customer to invest in. So stable, positive trend still. And we like that.
Dan Togo Jensen: Okay. Thanks. Just one question remaining here. The two offshore site that are driving off the LPF here in Q4, when are they back on stream so we can see the LPF come down again in the course of '25?
Henrik Andersen: It's this case we talked about in Q3. And as it is only two sites, I will prefer to have that conversation with my two customers.
Dan Togo Jensen: Okay. Thank you.
Operator: The next question comes from the line of Casper Blom from Danske Bank. Please go ahead.
Casper Blom: Thank you very much. I have a couple of questions as well, and I'll also try and take them one by one. Starting with your fine illustration of the five levers to get towards the 10%, one of them is onshore volume. And obviously, you are getting more onshore volume here in 2025. Looking into '26, '27, can you be a little bit more sort of specific on where you expect to find that volume growth? Because it seems as if there are areas of the world that are not growing much these days, South America, for example. Is it that you will find more growth in Europe and in the U.S.? That's the first one.
Henrik Andersen: Sometimes we simply don't know the answer to your -- to the question, Casper. I think it's -- to '26 and '27, we are doing what we can right now. And very much the levers to that. It's Europe, it's U.S., it's Australia, it's Asia Pacific. And then, of course, we see parts of Latin America developing differently than other parts. So Brazil seems to be very low, but there are other parts of Latin America that are considering. So I will say before we sort of point to a specific one, we still see a lever there. And we also see a lever in some of the core markets where it seems like that there are definitely more ramp and capacity needed. And I just want you to sort of also remember wind doing the same is not going to do it in terms of the electricity build-out and the capacity build-out. So you also have to assume that there is quite an underlying growth from some of the existing markets.
Casper Blom: Sure. But I suppose that's been the case for some time. My second question is once you're probably prepared for -- there's a lot of talk about tariffs these days. Could you remind us to how sensitive you are to potential import tariffs in the U.S., both when it comes to onshore and also on the one offshore project that turned into a firm order late '24?
Henrik Andersen: I think here the tariffs that are currently being either introduced or removed happens sort of a bit in the time frame where we hardly can manage to change our global supply chain. I mean, we have a backlog two to five years out. We have done that for supporting the build-outs. Normally it's -- what we have learned both when it came in '19 and also in the last five years, I think we need to take it one by one and see where it comes from. It's clearly right now, as of today and as of probably now, we haven't had any challenges when it comes to U.S., EU, but of course, we can't rule that out and then we will have to sit down and do that discussion on the individual either projects or where it's scheduled to come from. We are well prepared for that and we have dealt with it before. So I think these days when somebody asked me earlier, do we have scenarios? There's no one that can have scenarios for what is being right now put on the table in different parts. But I think we have good ways of mitigating it and that's probably for us the most important thing. Don't forget we have our factories, we have a supply chain already inside the U.S. and we are very busy in there and we will try to stay that way.
Casper Blom: May I follow up on asking to what degree you have tried to make this a risk that customers carry rather than you, given that, eight years ago we also saw higher tariffs. It must have been something that you are sort of -- have sort of been more prepared for in contracts today than eight years ago?
Henrik Andersen: To a very large degree, it sits between us and the customer, of course. And that of course we have also been used to and we have certain ways of dealing with that and we will try to mitigate that with customers. And to some extent, it can also means that there will be projects that will then have to be scheduled or rescheduled in either size or where it comes from. So we are fully prepared for that.
Casper Blom: Okay. Thanks a lot, Henrik.
Operator: Next question comes from the line of Supriya Subramanian from UBS. Please go ahead.
Supriya Subramanian: Yes. Thank you. A couple of my questions have already been answered. Just wanted to get your thoughts on the market outlook in terms of the level of inquiries that you're seeing, especially with the focus on U.S. in the onshore post a few of the executive actions that were signed in late Jan. Yeah. Just wanted to get your views on how you are seeing demand progress through 2025 and '26. Thanks.
Henrik Andersen: I think the U.S., in terms of executive orders around federal leases and others, I think it goes well now already realized that it will stop the offshore build-outs very much and very soon and you've seen New Jersey taking an immediate action on that and others and of course, can only regret that. But on the other hand, I think also it's an appreciation of that the actual and factual things happening in the U.S. East Coast over the last two to three years probably stopped that themselves some time ago because it wasn't transparent and it didn't give a sort of a straight how to build a pipeline there. On the onshore, very different. It's been part of legislation since 1992 and therefore the build-out is in many ways already committed and in the pipeline and at least a lot of the grids and the off-takers are relying on that offtake. So I think we talk about large balances of supply and demand and if you bring that into question, you actually run the risk of creating a small energy crisis if you don't get the build-out you expect.
Supriya Subramanian: All right. Thank you. And sort of just a quick follow-up on the tariff question as well. How much of the U.S. supply chain would be dependent on Mexico and Canada sort of going from Mexico and Canada into U.S.? And is there any sort of mitigation action that you have that could help you in case 25% tariffs are put in place on traded goods as well? Thank you.
Henrik Andersen: Supriya, we like the exchanges here, but the split there is simply not on a call like this. We have that, we are working with and we are working to improve it of course to our advantages. That's why we also have a factory setup already and we have a supply chain set up inside. But of course, there will be parts like anyone else in the U.S. that is depending on trade. So that will pose a limit not to Vestas or our customers, but to the society U.S. with the rest of the world. So -- and giving the setup in the U.S. on onshore, I don't want to comment on the split and how we see it because there's not that many others in there. And let's keep that for Vestas thing.
Supriya Subramanian: Sure. Fair enough. Thank you. And of course congratulations on a strong end to '24. Thank you.
Henrik Andersen: Thank you so much.
Operator: The next question comes from the line of Ajay Patel from Goldman Sachs. Please go ahead.
Ajay Patel: Good morning and thank you very much for the presentation. Look, mine's going to be completely focused on your onshore business, right? I think there was uncertainty on service last year and I think you very well-articulated your ambitions there with an 18% margin in your guide and improvement thereafter. I think in offshore you've been quite clear that it will have an impact on '25 and it will weigh on numbers for '25 and '26, as in being diluted to margin, but you will see sort of improvement beyond that. My question is just how much do we celebrate onshore here? Because if we look at 2024, you attained a 5% margin in your OEM side. Now if I remember back to your presentations at 2020, which are a bit old, you were talking about breakeven and offshore for that year. And I imagine if anything it would be breakeven, maybe even negative. So that's quite a pickup on the margin for '24, especially when you look at the Q4 margin which is 13%. So when you look into '25, no legacy projects anymore on that side, we should have seen a tick-up on onshore. And then I'm thinking, well, is the right way to think about it is that margins are getting towards the sort of high-single-digit mark in '25 and that we should really be giving you credit that that onshore business, which is a vast quantity of business, is improving quite sizably, but it's then been hampered on '25 by offshore by things like the EUR200 million of amortization and depreciation you were talking about. The fact that maybe you're carrying fixed costs on your offshore business because the revenue for that year was less than maybe you anticipated a few years ago. Possibly you're carrying more warranty costs for the ramp-up. Because I think it really does kind of really stamp the authority on how good the set of numbers these are. So any clarity or at least to tell me what are the negatives on the onshore that I should be thinking about in '25 to offset? That's the mindset that I'm painting.
Henrik Andersen: You should actually have done my presentation to the Board yesterday. I mean, almost -- so Ajay, here I can't disagree. And from celebrating the onshore, it's really nice. And I can't -- it's not Vestas owned, this is the partners, it's the supply chain as well. So the shout out to onshore on the execution. On the other hand, we also been waiting for that. I think we all discussed that Q2 last year was the turn of the onshore performance and also the backlog and seeing the execution in Q4 was just absolutely outstanding. So therefore the strength of the onshore business should be evident and uncontested (ph) for most people here. That unfortunately also shows and this is where I come back to. No, I won't tell you how well the onshore business is doing as a separate business in the outlook for '25, but as you can see on our sort of building blocks, we are not shy of saying where you need to look for where it's reinvested. And of course that for us is quite an interesting one because you will not be able to see the gap either in our quarterly because of course we will remain with the onshore, but we will have a lot of the cost to the ramp-up of offshore without necessarily a lot of turnover at the same quarters. So this is an investment, it is a drag and we are on it and we have it as absolutely one of the top priorities next to the service.
Ajay Patel: Maybe you can't give me in a financial sense, but could you give me in a qualitative sense in that? If I think about the levers on onshore into '25, no legacy, less low margin projects through legacy, so that should be margins up. Yeah. Maybe you had some quite strong performance in '24, so maybe you should adjust a bit downpour for maybe a bit of a normalization. But the net effect for onshore should be up versus '25 versus '24. Is that fair or am I missing a negative adjustment here?
Henrik Andersen: I can't have this conversation, Ajay. If it's fair -- the onshore is performing better. We have had projects in '24 that was dilutive. But on the other hand, I'm just saying to you, please don't walk in. Rasmus already warned you, we'll have four quarters super back end loaded Q3, Q4 and that means actually in Q1 and Q2, we'll struggle to carry the business through with also the investment we are doing. So when you then see the Power Solution in Q1 and Q2, you will sit still and say, is it really right. Onshore is performing really well. The ASP is underlying doing that and we keep pointing you towards it, the turn and the corner that turned was after Q2 '24. And I will not give you basis points.
Ajay Patel: Can't blame me for trying.
Henrik Andersen: Okay.
Operator: The next question comes from the line of Martin Wilkie from Citi. Please go ahead.
Martin Wilkie: Thank you. Good morning. It's Martin from Citi. Just coming back to service on the commercial reset when you talk about billing profiles and so forth. Just to clarify, are those changes on new contracts, so it's just on the sort of incremental backlog that you've built, or have you been able to change the profiles and so forth in commercial terms on the existing backlog? And you've obviously said the backlog scrutiny is complete, but is that commercial renegotiating, retesting and so forth, is that still ongoing and how long would that take if we're still ongoing with that? Thank you.
Henrik Andersen: Rasmus is simply jumping up and down to answer that one, so I will leave Rasmus to it.
Rasmus Gram: Okay. Thank you, Henrik, and thank you for fielding most of the questions so far. I think the commercial, the scrutiny of the contracts and the health and the cost profiles is over. But the commercial resetting is of course part of the plan. And I think to Henrik's point, we are simply saying we will not shy away from taking those decisions and having those conversations with our customers if, of course, we need to do it. And of course, there's a difference between a contract expiring and then a contract that is younger. And of course, these conversations will be different based on that. What we're saying is we're going to do what's right for the full backlog, for the profitability and the health of the backlog. And that's one of the levers that we're going to apply for the recovery plan.
Martin Wilkie: Great. Thank you. And if I could have a second question unrelated on the margin guidance. Again in 2024, you saw benefit from the 45X Advanced Manufacturing Credits in the U.S. Obviously, there's all sorts of debate in the U.S. about what may or may not happen to the Inflation Reduction Act. But does your 2025 guidance assume a continued benefit of that Advanced Manufacturing Credit in 2025?
Henrik Andersen: I will say here, I think whatever we have lived through in the world, we always rely on legislation until the legislation is not there anymore, Martin. So we assume that we can count on that. We will then see what happens during the year. And that's how we see it. Most countries will always stick to their legislation they put in place themselves.
Martin Wilkie: Great. Thank you very much.
Operator: The next question comes from the line of Deepa Venkateswaran from Bernstein. Please go ahead.
Deepa Venkateswaran: Thank you for taking my questions. So maybe I had two questions. One is on the U.S. to start with the executive order on permitting that primarily applies to offshore wind, but could you confirm whether there could be any implications on onshore, maybe any other permits, such as FAA permits, etc.? Anything that you see that might hinder the execution of getting new orders from this executive order. And second one, just going back to the 2025 guidance range, it is quite wide the range that you have. So could you give us maybe other than the offshore wind ramp-up, what would cause you to be at the lower end versus the upper end of the guidance, given that consensus is sitting towards the upper end?
Henrik Andersen: Yeah. Thanks, Deepa. In terms of the U.S., I think the U.S. in terms of that and the orders, your question sort of got a little extended to future orders and other stuff. And I simply can't answer on that one. I know what's out there right now, which is it has an effect on the offshore which you've seen the effect of already. I think the general impression and perception of it in the onshore is, it is to some extent rather limited because some of the federal leases, but there will still be federal permitting or also approvals that needs to apply under that. So therefore, I will sort of say here, so far so good, but it probably will pose some questions to either the process and there will be some sitting in some of those authorities that will also question almost the same as what you raised. So I think we'll be spending time in the U.S. both with customers and authorities and I know the ACP and the American Clean Power Association is also doing a good job in trying to help markets not to stall or stop. Because I think actually here the stalling or stopping is what is probably a bigger risk to the U.S. build-out and the U.S. energy market. In terms of demand, 4% to 7% and the risk in probably more to the low end, which is of course we see a back end loaded year. We've had a back end loaded year as well this year, but particularly also next year very back end loaded. It means that we and you will be for most of the year after the two first quarters sitting and saying you are very busy in the second half of the year and can you do that. And that, of course, we will have to copy and paste for what we did in '23 and '24, but it is always a risk. The other thing of course is that sort of pose that we will throughout the year see hopefully the ramp up improving. So that means you start the year with most of the challenges in ramp up and then they should diminish or dilute over the year. So there are a couple of things here that we only know when we are further into the year how that is going. So that is the underlying reason why we have 4% to 7%. And I know on behalf of the Vestas team, I know where everyone is putting their mind and working towards, but that's not always how it works.
Operator: The next question comes from the line of William Mackie from Kepler Cheuvreux. Please go ahead.
William Mackie: Good morning. Thank you very much for the presentation and for the questions. Two areas of questioning. The first one, Henrik, would be with regard to your plans on installations or delivery in '25, given the visibility from the backlog. If we just think about Brazil, U.S. and Germany, that accounts for about 45% of your installation in '24. Can you frame or could you frame your thinking around install -- or delivery volumes in each of those key markets which have quite different drivers? And I guess the second question comes back to Germany, one of your important markets. I know a lot of uncertainty politically because of the elections, but there have been a number of changes in -- or proposed changes in laws there. So what is your sense of the thinking or mood of developers at the moment in Germany? Is there still a wait-and-see despite the very encouraging auction volumes that we've seen? Thanks a lot.
Henrik Andersen: I think the upside in that to some extent is of course you have a great visibility. I answered that also in terms of why are we doing the following on dividend and share buyback. Because we got good visibility of '25 and you're right, they are great markets in terms of the U.S., Germany, Australia. There's also Brazil and LATAM. So in most of that, we enter the year with a high order coverage for our outlook of the EUR18 billion to EUR20 billion, which of course is a really nice position to be in. So in that sense, you're absolutely right. And the visibility there is good on '25 and we execute on it and it is in market where we have executed project before. The political change is not going to, I think, disturb the backlog. Maybe with some -- there could be questions or delays in the U.S. I can't say much about that, but I can't see that is sort of bringing orders out of the backlog or out of the execution. It might delay it and then we will talk to it as the year unfold, Will.
William Mackie: Thank you. A quick follow-up, if I may, related to the development arm. I mean you're rather unusual in your use of the development business compared to your peers. Could you just talk a little bit given the pipeline of what you think the contribution might be in the year ahead and at least what it was to EBIT in '24? Thank you.
Henrik Andersen: I will say here we never guide on it in that sense. It is -- I will say it is not material and that always hurts the colleagues in development. So I said it's material in the sense of we do the best we can, but the timing of it is always difficult to predict. I think in 2024, we had project mid-year in Australia and we had two projects significantly project in the U.S. that gave us a positive on that. And part of it comes in '24 and part of it comes in the following years because we probably also work with the customer to optimize further. We see development differently. Everyone knows here on the call that it's early development. We don't own the balance of it. It's a pure exemption we have and we will name the one I think we have left in there, but outside that, no, we work with this and customers generally, at least for the ones that buys the project seems to be very pleased with it and the ones that don't get it sometimes get a bit upset that it wasn't them. So, this is how we run our development business and it works well and they did well last year as well. But no -- nothing particularly large in the outlook.
William Mackie: Thank you. Great end to the year.
Henrik Andersen: Thank you so much. With 11:20 AM, could we operator have the last question now?
Operator: The last question comes from the line of Colin Moody from RBC Capital Markets. Please go ahead.
Colin Moody: Thank you very much for taking my question. I appreciate variety -- variations of this question being asked but specifically on this angle. In the U.S. market, given the recent executive order affecting offshore in particular, has this affected the ramp-up or the kind of total ramp-up or the speed of your ramp-up of your offshore facilities which I know appreciate obviously in Europe. I know you've made comments previously about preferring to be early rather than late. Perhaps it's a quick squeeze on the Germany situation. Could you just remind us what kind of typical lead time is from kind of permitting or auction results to actually receiving orders? Thank you.
Henrik Andersen: Yes. On the U.S., I think I commented, implied in this sense that I think the offshore U.S. probably stopped themselves 18, 24 months ago because it didn't give the visibility and it didn't give the traction on auctions coming out on a frequent basis between the six states. And, of course, somebody has taken a bit of an advantage of that and probably stopped most of it. I feel strongly for the people that have spent now working lives three, five, six years in working on offshore projects, and of course, we know at least one project very well in Atlantic shores and for that matter both the Shell and the EDF colleagues there. So that is -- we haven't built factories or things like that to accommodate that because that decision probably went a bit away when there wasn't a traction 18, 24 months ago. So what we are talking about resources is mainly the competencies and the knowledge we have in key personnel. We will try to redirect to other parts of the offshore market. In terms of Germany, you follow that when the auction comes out, typically with permitted projects and I think the latest legislation only supports that, it puts the legislation much more clear also in the allocation of land and the government allocated together with the muni -- not municipalities, but the regions in Germany. So therefore typically one to two years of lead time from what happens in the auctions to you see it in not only our backlog, but also projects being constructed and as [indiscernible].
Colin Moody: Thank you very much. Congratulations again.
Henrik Andersen: Thank you so much. I know we probably here have further people on the line that would -- I hope we see all of you over the coming days or the coming weeks, either here or in the U.S. where some of us will be spending some time. Thank you so much for your support. Thank you so much for your interest. And again, thank you for 2024. We are now in '25, so see you soon. Thank you.